Marcos López: Good morning to everybody. A warm welcome to all of those attending the presentation of Inditex’s results for the interim 9 months 2024. I am Marcos López, Capital Markets Director. The presentation will be chaired by Inditex’s CEO, Oscar Garcia Maceiras. Also with us today is our CFO, Ignacio Fernández. The presentation will be followed by a Q&A session, starting with the questions received from the telephone and then those received through the webcast platform. Before we start, we will take the disclaimer as read. Over to you, Oscar.
Oscar Garcia Maceiras: Good morning, and welcome to our results presentation. It’s my pleasure to join you today. In the interim 9 months of 2024, Inditex saw a very robust operating performance, driven very much by the creativity of our teams and the strong execution of our fully integrated business model. This performance relies on the 4 key pillars of the strategy we have been presenting throughout the year: our unique fashion proposition, an optimized customer experience, our focus on sustainability and the talent and commitment of our people. These are the principal factors driving our differentiation. The Autumn/Winter collections have been very well received by our customers. In the 9 months 2024, sales in constant currency grew 10.5%, showing very satisfactory development both in stores and online. Sales were positive in all concepts. In that same period, net sales grew 7.1% to reach €27.4 billion. We continue to operate with very healthy margins on sales across the different lines of the income statement. The execution of the business model has also been very robust with controlled cost management. Profit before taxes increased 9.9% to €5.8 billion. On the bottom line, net income increased 8.5% to €4.4 billion. The operating performance of the group further underpins our sound financial position. We have generated significant free cash flow over the period. You will note, this strong performance has continued into the fourth quarter. Store and online sales in constant currency between the 1st of November and the 9th of December grew 9%. Our diversified presence in 214 markets which drove market penetration across the board offers us significant global growth opportunities. We have complete confidence in our ability to grow this business, mainly because the model we operate is entirely unique. This in turn drives the increasing differentiation we have all been seeing. I will hand you over to Ignacio to go into some of the headline numbers.
Ignacio Fernández: Thanks, Oscar. As you have seen in our financial release, Inditex performed strongly in the first 9 months of 2024. Sales have progressed well at plus 7.1%. We have actively managed the supply chain, and this has driven a very healthy gross margin performance. Operating expenses have, of course, been tightly managed, and this has generated operating deleverage. Consequently, EBITDA grew 7.2% to €8 billion, and profit before tax increased 9.9% to €5.8 billion. We have also seen very strong progress on the net income line, with increase of 8.5% to €4.4 billion. The group continues to generate significant free cash flow, and this has taken our net cash position to €11.8 billion. I would like to reiterate that sales have progressed very well at plus 7.1% have reached €27.4 billion. That’s 10.5% in constant currency. You will note that the third quarter saw a stronger sales growth for the year in constant currency, offset by a particularly negative currency impact. Sales growth was strong, both in stores and online. Additionally, sales have been positive across all concepts. At current exchange rates, Inditex reiterates its expectation of around minus 3% currency impact on sales in 2024. In the interim 9 months of 2024, the gross profit increased 7.2% to €16.3 billion and this illustrates a healthy execution of the business model. The gross margin reached 59.4%. Based on current information, we are reiterating our vision of stable gross margin in financial year 2024 of plus/minus 50 basis points versus fiscal year 2023. There have been very tight control of operating expenses across all departments and business areas. Operating expenses increased below sales growth over the 9 months of 2024. Including all these charges, operating expenses grew 73 basis points below sales growth. Over the period, we have experienced a robust operating performance. Inventory in detail as of the 31st of October 2024 were 3% lower than at the same date in 2023. Let me highlight that the end of the period inventory is considered to be of high quality. We continue to generate strong cash flow and reinvest back into the business. The net cash position grew 3% to €11.8 billion. And now over to you, Marcos.
Marcos López: Thank you. Over the interim 9 months of 2024, the performance of the group has been very good. Notably, this performance was across all the concepts. We are very happy with execution over the period. We have carried on with our expansion and opened stores in 45 different markets over this period. We have also continued the rollout of concepts in new markets. Massimo Dutti has recently opened its store in Miami Aventura Mall. Stradivarius continues with its growth, with its first store in Berlin, following opening in Stuttgart, Hanover and Dresden. We are pleased with the execution of the concepts. Store and online sales have been robust. The performance has been strong across all levels. And now back to you, Oscar.
Oscar Garcia Maceiras: Thank you, Marcos. I’m going to cover some of the recent initiatives, which have been driving the increasing levels of differentiation. Our priority remains to continually increase the appeal of our fashion proposition. Creativity, innovation, design and quality are defining features of our collections and a key focus across all our teams. Our meticulous design process impacts every detail of our garments and collections, while striving to provide the latest quality fashion to customers around the world. Our approach involves integrating the talent of our designers with highly artisanal tasks carried out by our skilled teams and the latest technological solutions to achieve the highest levels of quality and sustainability. The results of this unique integrated approach can be clearly seen in the multiple collections we offer every season and our swift response to customer demands. We continue generating a very broad range of fashion propositions for each of our differentiated concepts. The focus on an ever-more enhanced customer experience comes as a result of the continuous process of upgrading stores with the strong architectural features and with highly curated internal spaces. One of the recent flagship projects has been the opening of the Zara Man store at Madrid Hermosilla. With more than 700 square meters spread over 2 floors, this integrated space is located in the heart of Madrid, Salamanca district. Each area of Zara Man Hermosilla has been carefully adapted to Zara Man collections and offers a unique shopping experience. This is very unique landmark store opened at the end of November and is an example of our continued optimization program. This project is similar to previous dedicated standalone Zara Man stores in Milan and Barcelona. The former Zara Man space at the neighboring Serrano store will host a new The Apartment section, the 3rd globally, next year. Thanks to our integrated store and online model, our teams have been able to take advantage of the remarkable growth opportunities we see across all channels, concepts and markets, underpinning this growth and new openings, enlargements and refurbishments of stores in the best locations, expanding to new cities and new territories and the launch of new services that enhance the customer shopping experience. As we have mentioned previously, all our concepts remain very active. The rollout in new locations like Massimo Dutti’s launch in Miami Aventura Mall, or a Stradivarius and Bershka’s flagship stores in Berlin are good examples. We also continue optimizing our store presence in all concepts with key projects like Bershka Madrid Gran Vía, Zara Home Dubai Mall and Oysho A Coruña Plaza de Lugo. The full implementation of the new security technology at Zara by the end of 2024 is going to plan. In 2025, we will roll this out in the concepts, beginning with Bershka and Pull&Bear. As part of our commitment to the development of new raw materials, Inditex has approved an investment in Epoch Biodesign, a startup that uses artificial intelligence to design enzymes that allow the cycling of mixed plastic and textiles. This alternative allows the transformation of textile waste into the equivalent of building materials, promoting textile-to-textile circularity. Our Sustainability Innovation Hub currently works with more than 350 start-ups. At Inditex, we are firmly committed to the training and development of our people as fundamental pillars to drive our transformation and guarantee the leadership of the future. We have launched the Creatives program, an initiative to identify and enhance the talent of the new generation of designers in our creative teams. Hand in hand with the best fashion schools in the world, we are looking for new talent to whom we offer a unique experience of training and professional development. The participants have begun their journey with us through a comprehensive training program that provides them with key tools to successfully face the challenges of a constantly evolving industry. Let me now move to the outlook for the remainder of 2024. We are on track to deliver upon all of our long-term goals. The talent, commitment and passion of our teams all around the globe will always be key to our competitive edge. We offer a unique fashion proposition defined by creativity, innovation, design and quality. The continuous optimization of the customer experience is central to our approach. We operate in 214 markets with low share in what continues to be a highly fragmented sector, and we see strong growth opportunities. To meet the current strong demand, which builds on the significant growth of the business in 2022 to 2023, we are undertaking a number of initiatives. We are investing to scale our capabilities, obtain efficiencies and increase our competitive differentiation to the next level. The growth of annual gross space in the period 2024 to 2026 is expected to be around 5%. Over this same time period, Inditex expects space contribution to sales to be positive in conjunction with a strong evolution of online sales. For 2024, we estimate ordinary capital expenditure of approximately €1.8 billion. This investment is principally directed at optimization of commercial space, its technological integration and the improvement of our online platforms. A brief note on dividends. The final dividend payment for 2023 of €0.77 per share was made on the 4th of November. I would like to finish with a comment on our current performance. Autumn/Winter collections continue to be very well received by our customers. Store and online sales in constant currency between the 1st of November and the 9th of December 2024 increased 9%. Thank you all for attending this results presentation. That concludes our presentation for today. We would be happy to answer any questions you may have.
A - James O’Shaughnessy: [Operator Instructions] The first question goes to Georgina Johanan from JPMorgan.
Georgina Johanan: Just on the flooding that took place, the very sad event in Spain, a month or so ago. Can you just talk about any impact or not as the case may be from that, please, be it on sales sort of or logistics more broadly?
Marcos López: Thank you, Georgina. The first thing we would like to say is that, obviously, our condolences to the people involved in that tragedy. I think that the company has responded through in 2 ways. First of all, trying to provide direct support in a number of directions, but also in the same way, we are very, very proud of the contribution made by our employees through their own donations. In terms of both logistics and retail, we can tell you that the impact has been very, very limited, right? Practically no impact at all. Only three stores were affected and they’re back to business. So no significant impact on that.
James O’Shaughnessy: The next question comes from Richard Chamberlain from RBC.
Richard Chamberlain: I just wondered if you could comment on the competitive environment in the quarter in fashion. I know you don’t like to get too into quarterly gross margin comments and so on. But I wondered if you could talk in general terms about what you’re seeing in terms of competitive environment, promotional environment, also any sort of FX and external sourcing headwinds impacting the gross margin or expectations for the second half?
Marcos López: Thank you very much, Richard. What we can tell about these recent period is that we’re very satisfied with the sales, you can see that sales growth in constant currency was strong at 10.5%. In fact, an acceleration from the previous quarters. You will note that the third quarter 2024 showed a strongest sales growth for Inditex in constant currency. What is true is that in the currency spectrum, what we are seeing in the third quarter is a particularly native impact on sales due to a combination of 2 factors. The first one is the strength of the euro versus the majority of currencies, and then some specific depreciation in the Brazilian real and the Mexican peso. These headwinds appear to be abating in Q4. We are now seeing a stronger U.S. dollar versus the euro and higher stability in the Brazilian real provide more stability to that. And at current exchange rates, we expect a lower currency impact over the fourth quarter. For the reason, we’re also reiterating our estimate of a currency impact on sales for the year, for the full year, that, as Ignacio has mentioned, remains unchanged at minus 3%. Regarding the gross margin and the execution, we’re very pleased. We have flexed the supply chain as usual. You see that the gross margin remains stable, and we are reiterating as well our gross margin vision for the year. Costs remain tightly under control. So this has resulted in very high margins in all the different lines of the P&L on sales and that’s very, very clear if you analyze that versus historical levels. So we continue generating strong free cash flow. We continue to reinvest into the business and what we can tell you is that we continue to see very strong opportunities for growth.
James O’Shaughnessy: The next question comes from Warwick Okines from BNP Exane.
Warwick Okines: Has the online sales mix increased across the 9 months year-on-year? And how is Click&Collect versus Home Delivery being trended? Just be interested in sort of overall dynamics in the online space, please?
Marcos López: Thank you, Warwick. Well, what we have mentioned in the presentation is that both store sales and online sales keep on growing. As you imagine, the secular trends of online growing is slightly above stores remains in place. Last year, if you remember, online sales were 24% of total and you should expect this very natural growth in both lines. In fact, one of the differentiating factors of Inditex is this a fully integrated model that allows us to grow satisfactorily in both channels. So we can tell you that the sales growth that we had during this first 9 months is very satisfactory, both in stores and online.
James O’Shaughnessy: The next question comes from Monique Pollard from Citi.
Monique Pollard: I had a question just on whether you’re targeting more and you see a gap in the younger market. And that’s in relation to the fact that there are now nearly 80 stores of Lefties in Spain that I can see and it’s in 17 markets, and that you’ve also launched this Z3D collection, the supportable range for teens. So just wondering if you see that there’s a bit of a gap in the market related to discount or younger targets, and whether you’re trying to fill that with things like the Lefties offering and the Z3D offering?
Marcos López: Thank you, Monique. My view on this is obviously supported by the numbers is we see a lot of opportunities in all the different segments in which we operate. I will not just highlight one. In fact, I think that what is quite relevant is that in this fourth quarter, we’re seeing -- we have released a trading update of a 9% growth from the 1st of November to the 9th of December. We believe this is a remarkable number because in the same period last year, our comparable was plus 14% in constant currency. So I would not highlight any specific segment of the market as -- in any specific way. I think we’re making good progress in all of them. We’re happy with the performance of Zara, of course, with the performance of the concepts. And we have mentioned that we are growing also in stores and online. So nothing specific over the recent quarter or recent trends. We continue to see opportunities in all our businesses.
James O’Shaughnessy: The next question comes from James Grzinic from Jefferies.
James Grzinic: Just very quickly, can you give us a feel for what you think wage growth will do for your business next year compared to this year? Should we expect a little bit of a step down? And if so, of what sort of magnitude, please?
Marcos López: Well, in terms of operating expenses, they remain very much under control. You see that as we have a strong focus to have operating expenses growing below sales growth. There is a significant variable component in the personnel expenses as well relating to sales. We all have, part of our remuneration based on the performance, different targets of the company. So we’re not seeing anything specific regarding wage growth for next year versus this year.
James O’Shaughnessy: That concludes the Q&A session. We can now move over to the webcast questions. The first of which is, what is the strategy behind the new stand-alone Zara Man stores and The Apartment concept, are you targeting a new type of customer?
Oscar Garcia Maceiras: Well, thanks for the question. Well, it’s important to highlight that the growth of the group is broad-based and not dependent on a single commercial initiative, just like it’s not dependent on a single market. As Marcos has just mentioned, we see opportunities for growth in different segments, in different concepts and in all of our markets. As we mentioned in our presentation, we remain with an important focus on the improvement of the customer experience, consistent with our store optimization program. And with that in mind, we have been opening several stand-alone Zara Man stores in key locations, such as Barcelona Paseo de Gracia, Milan Vittorio Emanuele or the recent Hermosilla Madrid. At the end of 2024, we will have 90 stand-alone Zara Man stores, a model that we have new projects in 2025, including Zurich Bahnofstrasse or, for instance, Roma Palazzo Verospi. The Apartment is a highly curated space, which combines a premium part of the Zara Women and Zara Home collections, and this initiative is currently available in A Coruña Compostela since September 2023. And in Paris’ Rive Gauche, since May 2024 with very, very positive performance and very positive feedback from our customers. As we mentioned in the presentation, The Apartment will open in Madrid Serrano in 2025 in the space vacated by the Zara Man section moved to its own stand-alone store in Hermosilla.
James O’Shaughnessy: Thank you, Oscar. The next question, given that we are 9 months through the year, can you comment a little bit on the evolution of CapEx or space growth, please?
Oscar Garcia Maceiras: Well, we are on track in the ordinary investments and the logistic expansion plans we announced in March. In the case of the logistics expansion plan, the new distribution center for Zara, Zaragosza II, will begin test operations in May, June 2025. As a reminder, this plant is consistent with the evolution of our business and builds on the significant growth that we have experienced recently. At the same time, it’s consistent with our ambition to keep on offering our customers what they are looking for, where, when and how they want. On the space growth, as you know, we do not provide disclosure on quarterly basis, but I can confirm that net space was positive in the first 9 months, and that the space growth for the year is also on track. And just to give you an additional color, to give you 2 examples of our store optimization strategy, we have recently reopened our stores in L.A. Topanga and Tampa International Plaza both in the U.S. Both stores have gone from a space below 1,000 square meters to over 2,500 square meters, with a significant improvement of the customer experience. Performance and feedback have been very positive so far.
James O’Shaughnessy: Thank you very much. That concludes the webcast questions for today.
Oscar Garcia Maceiras: Thank you to all of those participating in the presentation today. For any additional questions you may have, please get in touch with our capital markets department. And we will welcome you back in March for the full year 2024 results.